Executives: Sean McMillan -  Charles A. Alutto - Chief Executive Officer, President and Director Daniel V. Ginnetti - Chief Financial Officer and Executive Vice President Brent Arnold - Chief Operating Officer and Executive Vice President
Analysts: Ryan Daniels - William Blair & Company L.L.C., Research Division David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division Albert Leo Kaschalk - Wedbush Securities Inc., Research Division Gary E. Bisbee - RBC Capital Markets, LLC, Research Division Shlomo H. Rosenbaum - Stifel, Nicolaus & Company, Incorporated, Research Division Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division Isaac Ro - Goldman Sachs Group Inc., Research Division Barbara Noverini - Morningstar Inc., Research Division Adam Baumgarten - Macquarie Research Erin E. Wilson - BofA Merrill Lynch, Research Division Scott Lange Kevin M. Steinke - Barrington Research Associates, Inc., Research Division Richard Collamer Close - Avondale Partners, LLC, Research Division Sean Dodge - Jefferies LLC, Research Division
Operator: Good afternoon. My name is Jennifer, and I will be your conference facilitator today. At this time, I would like to welcome everyone to the Stericycle Fourth Quarter Earnings Call. [Operator Instructions] Thank you, and I would now like to turn the conference over to Sean McMillan, Vice President of Corporate Finance. Mr. McMillan, you may begin your conference.
Sean McMillan: Welcome to Stericycle's Fourth Quarter 2014 Conference Call. I will now read the safe harbor statement. Statements made by Stericycle in this conference call that are not strictly historical are forward-looking. Forward-looking statements involve known and unknown risks and should be viewed with caution. Factors describing the company's Forms 10-K, 10-Qs as well as its other filings with the SEC could affect the company's actual results and could cause the company's actual results to differ materially from expected results. The company makes no commitment to disclose any revisions to forward-looking statements or any facts, events or circumstances after this date that may bear upon forward-looking statements. I will now turn it over to Charlie Alutto, CEO.
Charles A. Alutto: Thanks, Sean. We are very excited to report our fourth quarter and year-end results. As you will see, our strong fourth quarter closed out another successful year for Stericycle. Our business continues to do well on a number of fronts, especially in the areas of internal growth, acquisitions and free cash flow. Joining me on today's call to review our fourth quarter and year-end results will be Dan Ginnetti, CFO; and Brent Arnold, COO. I will now turn it over to Dan.
Daniel V. Ginnetti: Thank you, Charlie. The results for the fourth quarter are as follows. Revenues were $676.9 million, up 19.2% from $567.9 million in Q4 2013. And internal growth, excluding returns and recall revenues, was up 8%. Domestic revenues were $479.7 million, of which $462.7 million was domestic-regulated waste and compliance services and $17 million was recalls and returns. Domestic internal growth, excluding recalls and returns revenues, was up 7.3%, consisting of SQ, up 8%; and LQ, up 7%. International revenues were $197.2 million. And internal growth adjusted for unfavorable foreign exchange impact of $17 million was up 10%. Acquisitions contributed $93.1 million to the growth in the quarter. Gross profit was $285.4 million or 42.2% of revenues. SG&A expense, including amortization, was $124.2 million or 18.3% of revenues. Net interest expense was $18.1 million. Net income attributable to Stericycle was $82.5 million or $0.96 per share on an as-reported basis and $1.12 adjusted for acquisition-related expenses and other adjusted items. Now for the balance sheet. Our covenant debt-to-EBITDA ratio was 2.22 at the end of the quarter. The unused portion of the revolver at the end of the quarter was approximately $577 million. In the quarter, we repurchased 264,574 shares of common stock in the open market in the amount of $33.7 million. At the end of the quarter, we have authorization to purchase 4.7 million shares. Our CapEx was $20.2 million. Our DSO was 63 days. Year-to-date as-reported cash from operations was $448.5 million. When adjusted for recall reimbursement and one timers, cash from operations was $502.6 million. I'll now turn it over to Brent.
Brent Arnold: Thanks, Dan. In 2014, the team made great progress in all areas of the business. Let me highlight a couple of the accomplishments. We increased our regulated waste operational infrastructure, enabling the continued growth of our retail and SQ regulated waste business. We expanded our international operations, completing 27 acquisitions in 10 countries, including a new geography, South Korea. We upgraded the pollution control systems across our U.S. network of incinerators and complied with new EPA Title V standards, reducing our emission significantly. In the quarter, we closed 9 acquisitions, 5 domestic and 4 international. The international acquisitions were 2 in Brazil and 2 in Argentina. The revenues from the 9 acquisitions were $7 million in the quarter and annualized, approximately $43 million. Our worldwide acquisition pool remains robust, with well over $100 million in annualized revenues in multiple geographies and lines of business. I'm pleased to report that the integration of the PSC acquisition continues to be on track and that the business is performing well. As we have mentioned in previous calls, as PSC synergies take effect, our margins will continue to improve. Our international business delivered strong internal growth in the quarter. The team remains focused on multiple revenue opportunities in all geographies. At the end of the quarter, we had approximately 601,000 accounts, of which 579,000 were small and the remainder were large. Looking ahead, we remain excited about our expanding growth opportunities. Whether the customer is a physician practice, a large hospital system, a Fortune 1000 company or a retail chain, Stericycle provides multiple services to help them improve their operations and to achieve their goals. As we execute on this strategy, we can more than triple our customer revenues. In closing, I would like to thank each member of our worldwide team for their focus on our core values, commitment to our customers and strong performance for our shareholders. I will now turn it over to Charlie.
Charles A. Alutto: Thanks, Brent. I would now like to provide insight on our current guidance for 2015. Please keep in mind that these are forward-looking statements, and our guidance does not include future acquisitions, divestitures, integration, acquisition-related and other adjusting items. Our current 2015 guidance does include an unfavorable impact from foreign exchange of approximately $17 million in revenue and $0.06 in earnings per share. For 2015, we believe analyst EPS estimates will be in the range of $4.63 to $4.69. We believe analyst revenue estimates for 2015 will be in the range of $2.8 billion to $2.85 billion, depending on assumptions for growth and negative impact from foreign exchange rates. We anticipate 2015 internal growth rates to be: SQ, 8% to 10%; LQ, 5% to 8%; international, 6% to 9%; and recall and returns revenues between $95 million to $120 million. We believe analysts will have estimates for 2015 free cash flow between $445 million to $456 million. 2015 CapEx is anticipated to be between $96 million to $100 million. We expect the full year as-reported tax rate to be approximately 36%. In closing, we are very pleased with our fourth quarter and full year 2014 results and remain excited about our multiple growth opportunities for 2015 and beyond. Thank you for your time today. We'll now answer any questions. [Operator Instructions] Jennifer, you can now open the queue.
Operator: [Operator Instructions] And our first question comes from the line of Ryan Daniels with William Blair.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Dan, given all the moving parts in the quarter, I was hoping you could start with maybe the gross margin bridge sequentially that gives us the various puts and takes.
Daniel V. Ginnetti: Yes, absolutely. So versus the prior quarter, gross margins were up 30 basis points. We're favorably impacted by about 45 points when you combine the PSC synergies and our normal business improvements. The acquisitions in the quarter were unfavorable for about 6 basis points, and we had an unfavorable 9 basis point impact with fuel and energy reductions that were offset by increases in insurance and benefits. So a nice 30-point improvement for the quarter.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Okay. That's helpful. And then, Charlie, I guess my follow-up is just a bigger question -- bigger picture question. With all the stuff we're hearing about ACOs and shifting risk to providers and Medicare Advantage capitation rates for providers, are you changing your patient communication strategy to help hospitals with HCAHPS scores or do patient surveys or drive more preventive business? Just how are these macro trends that appear pretty big shifting your view on that opportunity as you look forward?
Charles A. Alutto: Yes, a great question, Ryan. I think obviously, we talked about this before. Some of the benefits of the Communication Solutions offering that we have are to increase customer satisfaction and outcomes. And that has to do with the post-discharge call and making sure that somebody shows up on time for an appointment. As an example of that opportunity, we were just recently awarded a significant Communication Solutions contract for a very large Midwest IDN, really centered around our automated appointment reminder. So that obviously gets the patient there to help the health care facility in making sure that productivity remains high but also an increasing productivity and satisfaction.
Operator: Your next question comes from the line of David Manthey with Robert W. Baird.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: First off, Charlie, by my calculations, looking at currency back in October relative to where it finished the year, it's looking like maybe you lost $0.01 relative to that. And then when we look at the RMS shortfall, it looks pretty similar to last quarter, where I think you said it was about $0.04 relative to your expectation and should be kind of in the low to mid-$20 million range. Are those fair?
Daniel V. Ginnetti: Yes, I'll take that, David. Good question. The recall business was down about $0.04, as you expected, from the quarter. The foreign exchange, combined with a little bit of impact in -- our international recall was about $0.02, actually, when you combine the 2. Cash in the quarter offset that, and our core business was right at guidance.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: Right, okay. Great. And then second, maybe if you could give us a status update on the Communication Solutions IT platform unification and then if there's been any consolidation of facilities yet or if there's a time line you should talk about.
Charles A. Alutto: Sure, David. In fact, I just came back from our national sales meeting last week, where the ComSol team -- our Communication Solutions team presented to our team members on the service capabilities and our operational improvements. And of course, those operational improvements include the platform infrastructure. It's important because as we make improvements in our operation, it really -- we've said this before. It differentiates our service in the marketplace. Certainly, we're on track. We gave a lot of details to it on the last call and all the different aspects of that operational infrastructure, how we're going to be piloting that now and some -- and implementing some of that through 2015. And I'll tell you we're right on track of that, and I was really pleased on the presentations that took place last week at our national sales meeting.
Operator: Your next question comes from the line of Al Kaschalk with Wedbush Securities.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: I wanted to start with the PSC acquisition and get an update on the integration. I know you've said it's "going well." But we're probably now in the Phase 2, and maybe if you'd just take a step back and give us some of the pluses and minuses that you've seen from the transaction.
Charles A. Alutto: Yes, I think when you think about PSC, certainly, Brent having the opening comments they're on track. But to give you a little bit more color on what do we mean by that, most of our legacy-regulated waste volume has now been internalized. So we've internalized that into the TSD structure -- TSDF structure that we've acquired in PSC. Really, we remain excited about the future opportunity that, that infrastructure has given us. So from that standpoint, I think the high expectations we had about the growth of this business with the infrastructure that PSC had is coming to fruition. The teams are fully integrated. All the teams are working together, and we're really kind of under one umbrella now, which we've newly branded Stericycle Environmental Solutions. The one thing I'll remind everybody about is the seasonality in that business. We've talked about it a little bit, Al, on the call right after the PSC acquisition. The project work of that, which is about 20% of the PSC revenue, does tend to come out slow in the first quarter and build up as the year goes on. So we anticipate that same seasonality going in 2015 and that project work building as the year goes on.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: Right. My follow-up would be, can you comment, based on some of the input or fuel cost, energy cost, I would have thought we would have seen or we should begin to see some benefit in the model? If not the case, could you help us appreciate the contract structures and whether it's surcharges or fuel benefit or how that works in terms of the contracts?
Brent Arnold: Yes, I think it's important just to remind everyone when we look at fuel, we actually look at total energy, and that was 5.3% for the quarter. And that's calculated only on the sectors where we have fuel and energy apply. So that's kind of the impact on the quarter. I think it's also important to remember that we've got surcharges for our fuel and energy, and those will fluctuate. And really, they're mandated by the contract, and we adjust those appropriately. As you probably saw in Q4, while gasoline dropped pretty significantly, diesel lagged behind it and really didn't have that big impact in the quarter.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: Brent, can you remind us, though, which of the, say, services or businesses or contracts have the energy component to it?
Brent Arnold: Sure. It's around our regulated waste and compliance solution. So it'll be things like Med Waste, the PSC acquisition that we have in the United States. Those are one where there are heavier transportation business, Al.
Operator: Your next question is from the line of Gary Bisbee with RBC Capital Markets.
Gary E. Bisbee - RBC Capital Markets, LLC, Research Division: In the prepared remarks, you made a comment we've heard before that if you sold everything to all your customers, you could triple revenue. I guess can you give us a sense, just an update, I haven't heard one in a while, how that breaks down? How much of that is more of the regulated medical waste and compliance versus stuff like the hazardous waste and patient communication? And is there plenty of room in all 3 areas, really, is the question.
Brent Arnold: Yes, I think if you look in -- and I will guide you to our Investor Relations site. We have a pretty good detail on how that breaks out, and it really hasn't fundamentally changed. On the medical waste side for small practice, the Steri-Safe program, at the highest levels, can more than double our revenues. When you add in things like appointment reminders, live call center work, after-hours answering, that has an opportunity to take that up almost 6x. And in haz waste, even on the SQ side, for certain pharmaceutical drugs that are hazardous upon disposal and even nonhazardous pharmaceutical drugs, that can add additional revenue as well. So on the SQ side, it's probably conservative saying that it can more than triple the revenue. And a lot of those -- or really, virtually all of those additional services still have plenty of runway to go, and some of them are new service offerings for Stericycle. On the hospital side of the business, a little bit different. You're dealing with contracts that have an annual revenue of $30,000 to $35,000 on medical waste. Sharps Management can more than double that revenue. Pharmaceutical waste can more than double that revenue as well. And hazardous waste can go anywhere between $15,000 to $25,000 in revenue, not double it but certainly increase it. And then the Communication Solutions, which, on that slide that we gave in the Investor Relation presentation, doesn't really account for that. Although we are looking to update that slide because we are getting some nice wins with some IDNs on the ComSol side. So I think it's a conservative number. Certainly, not every medical waste customer can be sold every one of those services, but there are a lot of customers that can be up-sold to those additional services.
Gary E. Bisbee - RBC Capital Markets, LLC, Research Division: And how are you progressing overseas layering in more stuff? Any real update there? Is it incremental at this point? Or did you make some good progress in '14?
Brent Arnold: Well, overseas, we don't call it Steri-Safe. We call it Clinical Services, and we've really seen some really nice adoption internationally. The last country we rolled it out in was Spain, and we're really pleased with the adoption we're seeing to date.
Charles A. Alutto: And I think it's evidenced in some of the internal growth numbers you've seen in the last couple of quarters internationally.
Gary E. Bisbee - RBC Capital Markets, LLC, Research Division: And can I just sneak in one quick numbers one? What's the breakdown of the $93 million acquired -- LTM acquired revenue between domestic and international?
Daniel V. Ginnetti: Yes, in the quarter, there are 9 deals. There were 5 domestic deals, 4 international. That was $7 million in acquired revenue in the period and $43 million for the year.
Charles A. Alutto: Yes, it's not a 9 -- it's a $43 million number for the quarter, Gary, and we don't have the breakout.
Gary E. Bisbee - RBC Capital Markets, LLC, Research Division: The LTM, $93.7 million LTM contribution to revenue growth, I think in the past, sometimes, you've given us, how much of that was within the U.S. business versus the international business?
Charles A. Alutto: We're going to come back to you, get that for you.
Operator: Your next question is from the line of Shlomo Rosenbaum with Stifel, Nicolaus.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Company, Incorporated, Research Division: Actually, I want to follow up a little bit more on what Gary's talking about. So you've had improved strength internationally. Can you talk about some of the drivers over there and what's taking a hold? And you've mentioned in the last couple of calls, but maybe is there anything in addition over there? And maybe just review what's driving some of the strength there.
Charles A. Alutto: Sure. I think obviously, a good international growth number of 10% for the quarter. International growth rates continue to be strong across, really, multiple geographies. We're not just seeing it in one area. It is slightly lower from Q3, but it was slightly impacted due to lower international recalls. Recall -- remember that we do not break out recalls on the international segment. It's included in the business. And quarter-to-quarter, when acquisitions roll on to the base, that might impact the growth rate calculation. But organic growth is very good. I think it's -- obviously, we talked about patient transport services in the U.K. Brent touched on Clinical Services being adopted now in Spain. There are some markets overseas like Canada, Ireland and the U.K. where we have our Sharps Management program. It just depends, really, on the maturity of a country and how many different additional services are rolled out. But we're seeing growth, good growth across the board, Shlomo.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. And then I would like to just follow up one more on the PSC acquisition. Could you talk about progress you've made in terms of growing that business? I know you don't break it out separately, but you had your own StrongPak business. You've got that business. Are you seeing some any kind of revenue synergies and putting that under the Stericycle name after about 9 months or so?
Charles A. Alutto: Yes, I think from a very high level business, it's on track with the expectations with respect to revenue. Right now, we're integrating both PSC and the StrongPak to the legacy Stericycle business. So it's tough to say is the Stericycle name helping us. We think it is. We think branding it Stericycle Environmental Solutions will help. Obviously, the retail is in that business. And with respect to upside, you see now 2 quarters in a row where the project work has been a surprise for us. A little bit higher and kind of a negative impact a little bit on gross margins. But certainly, we've evidenced over the last couple of quarters that the revenues is doing a little bit better than expected.
Daniel V. Ginnetti: And this is Dan. I'd like to hop in and clear up Gary's question. Gary, I think what you were talking about beyond just the revenue and the acquisitions in the quarter, what you're looking at is the acquired revenue in the quarter, which would include either acquisitions coming in. That split is about 70% domestic, about 30% international.
Operator: Your next question comes from the line of Scott Schneeberger with Oppenheimer.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: I wanted to hit on RMS briefly. Obviously, a little light in the quarter, yet I see you maintain the 2015 outlook revenue guidance. Just if you guys can provide a little bit of color on -- it was soft, I think, in third quarter as well, but feeling confident going into the next year. Just thoughts there.
Charles A. Alutto: Yes. And Scott, you've followed Stericycle for a long time. If you think back to 2009, it was low on the recall business as well. We were lacking large recalls in 2009 like we have in 2014. But 2010 rebounded to be a record year for that business. So it is an uneven business. But obviously, in our guidance in 2015, we believe that we're going to be within that guidance. And we're confident and comfortable with the guidance that we put forward on today's call of $95 million to $120 million. We're at a record number event in 2014, and I think this demonstrates that our awareness campaign is gaining traction. We're just missing those -- we're lacking those large recalls. We don't think they're happening in the marketplace. We're not losing them to anybody. It's just that they're not out there right now.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: And just following up on that. Are you seeing indication that those are coming? Or is that just the guidance says, well, just by our past history, we would expect 1 or 2 probably coming in the future year, so there is, perhaps, some risk, but not a huge amount of risk? Just whether you see it now or whether it's just assumed over the 12 months.
Charles A. Alutto: Yes, I think obviously, the high end of our guidance assumes 2 to 4 very large recalls in 2015. You don't get much visibility when those come. They tend to come right away. But obviously, I think by our guidance, we have sent the message that we feel really good about the number for 2015, even though we've had 2 slower recall quarters the last 2 quarters.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: And just following up on Shlomo's question on international drivers. Obviously ticked up the growth rate, international organic growth rate. In third quarter, you announced the big patient transportation win. And in response to his question, you talked about some of the things that were going well. Is the move higher purely that -- the patient transportation? Or are there other components that are contributing?
Charles A. Alutto: It's certainly a contributor, but there are other contributing factors. As we said before, Clinical Services and multiple services in other countries. And as I said, the international growth rate is strong across multiple geographies.
Operator: Your next question comes from the line of Isaac Ro with Goldman Sachs.
Isaac Ro - Goldman Sachs Group Inc., Research Division: Just a quick question on the tax rate guidance you gave. I mean, if I look at the numbers here, your tax rate has kind of come down steadily over the last, I think, 4, 5 years. And your guidance here is coming from a pretty sharp rebound. I was curious why that was the case. And is that something to do with the geographic mix this year or another dynamic here that would drive it higher?
Daniel V. Ginnetti: If you remember, we gave you guidance last quarter of 35% to -- 35.5% to 36%. The reason for that is we don't give guidance on onetime nonrecurring events. And those would be such things as tax rate changes that we don't know about, some of our work on our international entity structure, our tax optimization plan or even things that are released from statute that we don't know until they actually -- so the tax rate that we give you is strictly off our core business. Now in going into the rest of the year, I think it's better to move your tax rate up a little bit closer to 36%, and the reason for that shift to the higher end of the range we gave you is, in fact, is the foreign exchange changes that are taking place.
Isaac Ro - Goldman Sachs Group Inc., Research Division: Got it, okay. And then just a follow-up on the FX dynamic. Really, as it relates to your M&A plans, I mean, the current kind of exchange rate picture would suggest that maybe some of the assets you're looking at overseas are, perhaps, less expensive. So do you feel like the current rates in the environment give you maybe a little more opportunity to be aggressive on M&A overseas?
Charles A. Alutto: Certainly, there's an advantage with the strengthening of the dollar when we look at certain markets. All of our deals go through the necessary IRR calcs, does it fit in -- is it strategic fit for the company. But there is a certainly a benefit now with the strengthening dollar to be maybe more aggressive on acquisitions. But as you know, Isaac, sometimes, it's a timing issue when the seller is ready to sell the business. And really, we can't give any more guidance other than that.
Operator: Your next question comes from the line of Barbara Noverini with Morningstar.
Barbara Noverini - Morningstar Inc., Research Division: So with StrongPak and PSC doing well domestically, can you talk a little bit about your expectations for replicating that kind of business internationally? Which of the international markets most closely resemble the U.S. with respect to retail and retail pharmacy, hazardous waste? And will this be an important strategy in growing the international SQ customer base in the future?
Charles A. Alutto: Yes, I think it's too early to start rolling out across the board in the international markets. But certainly, from a country that's very similar now to the U.S. with respect to a framework or regulations, same type of retailers. In fact, sometimes, the same retailer will be Canada as one of those marketplaces. But we continue to explore the markets we think, longer term, that could be an opportunity. Right now, the focus is on the U.S. and Canada.
Operator: And your next question comes from the line of Adam Baumgarten with Macquarie.
Adam Baumgarten - Macquarie Research: Just wondering if you could break down the 9 acquisitions by service type?
Daniel V. Ginnetti: Yes. Eight of those acquisitions were in the regulated waste field, and there was one recall acquisition.
Operator: Your next question is from the line of Erin Wilson with Bank of America Merrill Lynch.
Erin E. Wilson - BofA Merrill Lynch, Research Division: It's Erin. You gave some color on the sequential trend in the gross margin. What was the underlying growth margin trend on a year-over-year basis, like excluding the acquisition-related impacts? And how should we think about the quarterly progression of that trend?
Daniel V. Ginnetti: I think it's very difficult, Erin, to look at it that way with all the acquisitions and the movements, especially in a year where we have the PSC acquisition. They really move that up and down. So I think you'd be better to look at the sequential improvement that we looked at in the fourth quarter.
Erin E. Wilson - BofA Merrill Lynch, Research Division: Okay. And how should we think about, I guess, the quarterly progression going into 2015 on that trend?
Daniel V. Ginnetti: I think going into Q1, we think we've moved to about a 43.15%. And then after that, you're going to get your about 10 to 15 basis points after that. The reason for the jump in the first quarter is there is expectation that the recall business will come back. Also, that some of that project work that is a question whether it will come back or not. If it doesn't, that gross margin will go up. And then foreign exchange impact will benefit about 25 basis points. And then there's a little bit of a headwind or unfavorable from acquisitions of 11 basis points. And then our core business of PSC will pull up. I think at this point, also, it would be very good when you go into Q1, it's very important to look at it flat, as we've given guidance before. And in this case also, for EPS, I think I'd like to guide you to about $1.10. And the reason for that is we are -- we certainly just shared with you some foreign exchange headwinds. We're going to have some normalization of our tax rate. And then with recall coming back and our core business improvements, I think $1.10 is a very good starting point and then the 3 quarters following that, about a $0.04 per quarter increase quarter-over-quarter. And that should put you right into our guidance level.
Erin E. Wilson - BofA Merrill Lynch, Research Division: Great. That's excellent color. And then we've seen some high-profile data breaches in health care of late with the news of Anthem today. Do you have any exposure there, particularly, and I guess, on the patient communication side? Or maybe is that even an opportunity for you as potential customers seek, I guess, HIPAA-compliant communication services?
Charles A. Alutto: I mean, obviously, we don't feel we have an exposure. We monitor it closely. We have safeguards for our Communication Solutions business. As an opportunity as a business, Erin, we've looked at it. There are a lot of players in that space. We continue to monitor, but I don't see us entering that space anytime soon or possibly never entering that space from a compliance standpoint.
Operator: And your next question is from the line of David Lewis with Morgan Stanley.
Scott Lange: It's actually Scott Lange in for David. Dan, I guess how should we expect SG&A to trend over the coming years? On one hand, we might expect some G&A leverage on a company that's growing sales so quickly. On the other hand, you do run a fairly tight ship to begin with. To what extent -- can you share with us to what extent will investments and kind of ancillary services or other growth drivers start to show up in the P&L?
Daniel V. Ginnetti: Yes, I think if you are looking into 2015, about 18.5%. Really, throughout the year is a comfortable level. I think you hit the nail on the head. You'll see a little bit of both. You'll see some investments. At the same point in time you're going to see us as we're moving into some of these new avenues with PSC and other, we begin to see leverage. And I think right now, about 18.5% is a good position for us for the year to accomplish both our leverage and our investments.
Charles A. Alutto: Yes, and I think, Scott, certainly, we're a bit discipline of SG&A, but we've shown in our history that if we've got a hot hand, we're going to make some of those investments over time to feed the hot hand in the business.
Scott Lange: That's perfectly understandable. And then, Charlie, I guess, for you, as you think about kind of future targets for M&A, can you share with us kind of how you think about it in terms of balancing investments to build scale in markets that you already have a presence in versus, say, entering into new markets or new verticals?
Charles A. Alutto: I think to answer that question from a regulated waste standpoint, when we enter a new market, we try to buy a larger player because we want to buy some of that infrastructure. And you've seen that in the recent acquisitions in Japan, in Brazil, in South Korea, the most recent. And then from there, look at strategic acquisitions that can leverage off that infrastructure from a tuck-in strategy. It varies by country. We try to test first before we double down. But certainly, when it comes to buying scale, we've done it before in Communication Solutions, and we've done it in our international strategy for our regulated waste business.
Operator: And your next question is from the line of Kevin Steinke with Barrington Research.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: Just wanted to clarify with the 2015 guidance. Basically, you're taking $0.06 out of the previous guidance for currency and EPS, right? That's the way to think about it?
Charles A. Alutto: Correct, Kevin, yes.
Daniel V. Ginnetti: Yes, that's correct.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: And then revenue, you're increasing by the acquisitions completed in the quarter plus some better performance internationally, and then you take out $70 million in currency.
Daniel V. Ginnetti: Yes, let me bridge you on both of those. Those are great questions. Let's start with the revenue first. If you look at our prior guidance, acquisitions contributing next year about $43 million and then approximately $70 million of headwinds due to foreign exchange, and that's how you're going to get to the $2.8 billion to $2.85 billion. From an EPS guidance, you're absolutely right. Prior guidance was $4.69 to $4.75. We had the $0.06 of foreign exchange headwind and then the acquisitions of about $0.02. That was offset by some higher costs and benefits and stock options. So that's where you're going to get to the $4.63 to $4.69.
Operator: Your next question comes from the line of Richard Close with Avondale Partners.
Richard Collamer Close - Avondale Partners, LLC, Research Division: As we look at 2015, I mean, I guess try to get your perspective on what do you think are the biggest opportunities for you as the year progresses. And as you look out, what are you most concerned with in the coming year?
Charles A. Alutto: I think from an opportunity standpoint, obviously, the PSC platform or the Stericycle Environmental Solutions gives us a great opportunity to grow that part of the business and stay within that internal growth rate, obviously. All the growth rates that we have are very important, so I think the opportunities are Environmental Solutions, our compliance services and our Communication Solutions helping us get to our internal growth rates, remaining focused on M&A and making sure that we do deals, that those deals are a strategic fit for the business. To your point around what are some of the uncertainties, certainly, there are business risks in anything that we do. We want to make sure that as we continue to grow, we have the right people in place and the right culture to continue to grow this business for many years to come.
Richard Collamer Close - Avondale Partners, LLC, Research Division: Okay. And then with acquisitions, are there any countries or additional services that you think may come into the fold over the next year?
Charles A. Alutto: We certainly are looking at countries that we're not in today, in regions that we are in today would be the most logical expansions for us. We obviously don't disclose which countries they are, and it's hard to predict timing of when we'd enter those countries. But certainly, it wouldn't be out of the realm of possibilities that in a couple of years, we're in new countries. From a service aspect, we've talked about this before. Sometimes, we have services that work in the U.S. and we can take those overseas. They can cross into other countries. Sometimes, we find services like in Spain with the dosimetry services that work in that country that also work maybe in that region. So we're open to not only taking stuff in the U.S. and sharing it overseas but also learning in some of the markets that we're in and taking those services and taking them into other countries in those regions.
Operator: Your final question comes from the line of Sean Dodge with Jefferies.
Sean Dodge - Jefferies LLC, Research Division: So going back to the patient transport contracts you guys signed in the third quarter. Last we spoke, you mentioned some structural changes to that market that could possibly create some more opportunities like that. Has anything changed about the outlook there? And what's the likelihood we'd see some additional transport wins over the next several quarters?
Charles A. Alutto: Yes, I think what you're referring to is my comments about how we have a combo of Communication Solutions and patient transport opportunity. We're taking some of the different Stericycle capabilities, Communication Solutions with our patient transport, and we're really offering a differentiated products in the marketplace. That remains on track. There's really no fundamental change from that, that premise. From the ERS perspective, it continue to be contributors to the international growth rate. We've talked about how we've had success on NHS contracts, and the team is really implementing those contracts well. And so we're excited about building on our multiple service strategy in all the different geographies that we're in.
Sean Dodge - Jefferies LLC, Research Division: Okay. And then -- so realizing your international segment is spread over a bunch of countries that are all in various stages of being built out, if we look at just the most mature of the foreign markets, so maybe like an Ireland or a U.K., how did the margins in those countries compare to what you're earning in the United States currently?
Charles A. Alutto: Yes, I think we look at it regionally. So obviously, from a regional perspective, the margins are different. They're less. We're not as mature in some of the service offerings that we have in the United States. Certainly, when you look -- and we've talked about this before. In some of those markets, the LQ margins are better than the LQ margins in the U.S. But our SQ margins in the U.S. are better than those SQ margins internationally. As we roll out additional services, we hope to bring up the entire margin profile of our international business.
Operator: And we have no further questions in queue at this time. And I would like to turn the conference back over to our presenters.
Charles A. Alutto: Thank you, Jennifer. Thank you for your time. We appreciate your continued support of Stericycle. We'll speak to you again in April and hopefully see you on the road over the next couple of months. Take care, and have a great evening.
Operator: Thank you for your participation in today's conference. This does conclude today's call. You may now disconnect.